Operator: Good afternoon, ladies and gentlemen, and welcome to the Pressure BioSciences First Quarter 2022 Financial Review and Business Update. [Operator Instructions] 
 It is now my pleasure to turn the floor over to your host, Richard Schumacher, President and CEO of Pressure BioSciences. Sir, the floor is yours. 
Richard Schumacher: Thank you, Matthew, and welcome, everybody, to our first quarter 2022 financial review and business update. Before we begin, as always, I'd like to read the following cautionary statement. The following remarks may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks, uncertainties and other factors, which may cause the actual results, performance or achievements of the company to be materially different from any future results, performance or achievements expressed or implied by such forward-looking statements. Such factors include, among others, those detailed from time to time in the company's filings with the Securities and Exchange Commission. We expressly disclaim any obligation or undertaking to release publicly any updates or revisions to any forward-looking statements to reflect any change in our expectations or any change in events, conditions or circumstances on which such statements are based. 
 So for today, for the first time in a while, I will not have a colleague with me, I'll be handling this myself, usually either John Hollister, who's our Director of Marketing Sales and does many other things, in addition to that or Jeff Peterson, our Board Chairman, or both would join me on this call. But this call isn't on the day we expected it on several weeks ago. So neither was available today, so I'll be handling it just myself. 
 For today's meeting, we're going to start with a brief discussion of the 2022 first quarter results, and I'll highlight some of the accomplishments thus far in '22, followed by a general business update. Afterwards, I will certainly be pleased to take any and all questions. 
 So on the financial review, in terms of the highlights of Q1 2022 versus Q1 2021, total revenue for the quarter was $480,000 -- and these are all rounded by way to the nearest hundred, except, of course, the earnings per share at the end. The total review -- total revenue for Q1 2022 was $480,000 compared to $560,000 for Q1 last year, which is a decrease of 14%. 
 Instrument sales were $246,000 compared to $319,000 for Q1, decrease of 23%. I do apologize that some people received this -- the press release that had a mistake in it. It had the numbers slightly higher, but the actual decrease was about the same. So it wasn't material. It was 19% in the first one, 23% now. So instrument sales, again, were $246,000 compared to $319,000 for Q1 2021, which was a decrease of 23%. 
 Consumable sales for Q1 were $40,000 compared to $102,000 for Q1 2021, that decrease was 61%. A lot of that, of course, had come from the fact that the previous year, the major pandemic year in 2020, we had very poor results and very -- especially poor in instrument sales and consumables because our customers are mainly in the lab, and they were not in the lab during that year. 
 So we had a catch-up -- a bit of a catch-up, especially on consumables in the first quarter of last year. The BaroFold/UST services in Q1 were at $15,000 compared to $6,100. I'm looking forward to talking about that number in a few quarters from now. As we all know, we are starting to push BaroFold, but most importantly, we are -- we started an Early Access Program for UST services. And so that's a number that we anticipate will be quite different in several quarters from now and then quarters to come after that. 
 The new PBI Agrochem subsidiary had initial sales in Q1 of $83,300 with no sales in Q1 of last year. So although that number is a decent number, it's not anything close to what we had expected to have. So we are disappointed that it's only $83,000 and still expect that, that number to be significantly larger in quarters to come. The operating loss for the first quarter of 2022 was $1.86 million (sic) [ $1,086,000 ] compared to $1.75 million (sic) [ $1,075,000 ]. So basically the same between the 2 quarters. And the basic and diluted net loss per share was $0.48 for the first quarter this year versus $1.45 for last year. We, of course, have more shares outstanding, which brings that number down. 
 So in terms of some of the operational and technical highlights, we'll start with the most recent and go back, and we're going to talk about the highlights during the first quarter, but also over the last 2 months, April and half of May. So on May 4, we announced the first nanoemulsion's manufacturing agreement, which came under the new UST Early Access Program. That Early Access Program was announced on April 27. Those press releases are available, of course, on our website and a lot of other places, and we can talk about those programs in a few minutes. But we're very excited that we were able to develop this program and very quickly sign up our first customer. And as we said in today's press release, we're in discussions with actually more than 4 others, but I wanted to make sure that I put in there the number that we're actually in really distinct discussions, and there's 4 companies that we started talking to or have been talking to for quite some time that are interested in the Early Access Program. 
 There are many other potential customers that we have talked to and that we are getting back to, but we have a limited number of companies that we could actually bring into the Early Access Program. So we want to make sure that we're bringing in those that make the most sense for us as a company as well as for them. So there are -- there's one that is signed up and there's 4 others that we are in discussions with that are in deep discussions, and there are many others that we've had some discussions with. So again, it makes us very excited about what's -- what we think is going to happen to this company, especially because of the Ultra Shear Technology nanoemulsion processing capability. 
 So on April 5, we reported last year's fiscal year results, which were quite strong, the second best year we've ever had and had a lot of good news that we talked about on April 5 and at the conference call that followed. March 17, we thought it was important to get out to all of our stakeholders, including, of course, all of our shareholders, our key 2022 goals. 
 There were 4 in particular that we highlighted. The commercialization of the Ultra Shear Technology platform, first and foremost, was there. We expect a major revenue increase in the second half of 2022, probably at this point, looking at mostly the fourth quarter, but it's going to be coming from the Early Access Program that we've just talked about. We've clearly improved our financial position over the last couple of years. We still have a lot of debt. We actually have more debt than we had several years ago. But there is good debt, and there's not good debt. And we had a lot of not-so-good debt on the balance sheet several years ago. 
 We have debt on the balance sheet now, but for the most part, it's all good debt. It's from true investors. It's from people that are going to work with us. I've mentioned before, I'll mention again that in talking to the individuals that hold these notes, about $20 million in notes. About 85% to 90% of the notes, the holders have said they would convert at the $2.50 price when we do our uplist. So I ask -- when I talk to people, I point that out all the time that, yes, there's a lot of debt on the balance sheet, but that debt is with about 35 to 40 different lenders and 1 major lender and somewhat major and then a lot of other lenders that are in the $50,000 to $250,000 range. 
 And we've spoken with them all, we keep in touch with them all, and the vast majority, the vast majority, 85% to 90% of the notes, the investors have said they would convert on an uplist. So that would mean -- that would be very little to pay off or to work off somehow, which is -- which puts us in a great position to find a good bank that understands that the vast majority of any money that might be raised prior to or during an uplist, depending on what we decide would not have to go to pay off debt because the vast majority would convert. 
 And we expect an uplist to a national market. We need to do it at the right time. We're thinking that right time could be between now and the end of the year or now and the beginning of next year. But we certainly see ourselves as a listed company on a national exchange sometime over the next 3 to 12 months, hopefully sooner than later. 
 So on February 28, we announced that -- and also around the same time, Ohio State announced that there was the first successful commissioning of our production scale BaroShear UST MAX System. This is the very largest of our 3 systems. To remind everybody, we have a benchtop system that we call the mini, and this is mainly for formulations. It can be used for -- by groups that have small amounts that need to be processed. But for the most part, the mini is there for formulations. If one is developing a product, one is -- and that product is going to have an active ingredient and oil, and you need to nanoemulsify that. 
 I think there's one thing that there's not much in this world that you get a lot of consensus on, a lot of agreement on. But one thing that I hear out there a lot is that everybody basically understands and agrees that the best way to present a product that has oil and water mixture and emulsion that oil contains an active ingredient, it can be a pharmaceutical or nutraceutical, it can be cosmetic, it could be agrochemical, it can be industrial, that the best way to do that hands down is to convert that oil and water into a nanoemulsion. 
 Almost all emulsions out there now are much larger than nano. Some people call them macro, some people call them micro. There isn't even a lot of agreement on what nano means. Is it 300 nanometers or smaller? Is it 200 or smaller or 100 or smaller? 100 or smaller, it means it's smaller than a bacteria -- than a bacterium. We believe that a nano -- a true nano is under 100 nanometers. And so when we say we can get a very stable, long-term stable highly water-soluble and therefore, expected to be highly bioavailable nanoemulsion, we're talking about emulsion where the oil droplets are below 100 nanometers. 
 Our system can let us go to just about where we wanted to go to. We can essentially dial it in by knowing how many times it gets passed through our system and is very -- in this very powerful patented valve that we've -- our guys have developed. But -- and this system can reduce it to 500 nanometers to 300 to 100. And knowing what it is and having done a trial and error on it, we can probably come within a reasonable amount of saying, okay, we're going to get to 200 nanometers or 100 or 80 or 50. 
 I will remind everybody that smaller is not always better. I've had too many phone calls, well, how low can you go? You get to a level of diminishing returns, where you as a producer, are spending a lot of time and money getting from some number, maybe 100 or 80 or 120 or 50, down to 20. Can we do that? Yes. We believe in most cases, we can do that. Is it necessary? In most cases, it probably is not necessary. It's probably necessary to get down close to 100, but the difference between an 80- and a 40-nanometer may not be worth the extra cost and time and money to get there at all. 
 You don't get much benefit from that. But that can be determined by the customer and the product that they're using. So we installed our largest machine. So we -- I just talked about the mini. We have a K45, which is the middle of the road, which we think will be the workhorse. And then we have a very large machine and one that we installed in Ohio State. This is the one that could scale way up there and could be used by someone that perhaps wanted to put -- enhance a soft drink or something and put it in millions and millions and tens or hundreds of millions of bottles in a year. So our MAX System is for very large amounts. Our K45 is probably the workhorse will fit for most. And in the mini will help some smaller manufacturers that insist on doing it in-house, but they don't need a larger system. But it's mainly meant for formulation. One size doesn't fit all. 
 You can't just say because I'm going to put CBD into this soft drink or I'm going to put [indiscernible] into this cookie or whatever it's going to be, that you come up with 1 formulation and you use it for all. That's not going to work. We have developed a very high expertise in formulation. There's a lot of things that come in -- that get involved when you're formulating. We've developed that. We were not formulators several years ago, but now we are. We have a great group in our formulation lab. 
 And this instrument, the mini, is the one that can be used because it doesn't require a lot of material upfront and you can generate milliliters of some -- enough to test, enough to know that you need to go higher or lower, change the pH, add different materials to it in different concentrations, but not have to use very large amounts in that. So the mini has a great use down the road. The K45 will be the workhorse. And the MAX, when we introduce someone to the MAX and they take the MAX and they're going to do a very large amount of nanoemulsification. 
 So very happy that our partners, Ohio State University, they have a college of food and environmental science and agriculture. They are experts in using high pressure. Dr. Bala who is a full professor in the college there at Ohio State, is a colleague of Dr. Ting, who runs our engineering. They both are pioneers along with the U.S. Army, and bringing high pressure into the food and beverage industry. I'm talking 25, 30 years ago when this idea first was hatched by the army and they sought the experts and 2 of the experts were Dr. Bala, who happened to be at Ohio State and Dr. Ting, who is at a company called Flow. And they worked with the Army, and they developed the first process of high pressure that was being used to treat food and make it safer and not lose the nutritious value of the food. 
 Because heat, anything that's thermal can cause a major problem with anything that contains proteins like food. So you try to keep away from heat and pressure can do many of the things that heat can do, but you can control the heat, keep it minimal. And once you take the pressure off, it's off. When you take the heat off of something, it's still is hot. And it takes a while, might take 2 minutes or might take 20 minutes to get it back to equilibrium. So pressure has a lot of advantages, 2 of the experts in that field, Dr. Bala and Dr. Ting are with us. Dr. Ting is full-time employee, is one of the -- I call him a co-founder. He was one of the first hires I made, along with Dr. Lazarev, who is our Chief Science Officer, and Dr. Lawrence, who is now retired, and living the life of a retired scientists, but still consults for us. The 3 of them all came in, in the year of 2006. And these guys are experts in proteomics and experts in high pressure. 
 And as I said, at this point, the high-pressure market is -- last I saw was about -- estimated to be $14 billion or $15 billion in just high pressure. This is not Ultra Shear Technology. This is not adding shearing to high pressure. This is high pressure alone, which is a wonderful technology, but it has limitations. 
 This is a $14 billion or $15 billion market worldwide. And the Ultra Shear Technology, we think, can do some things that I believe personally that a lot of users of high-pressure processing, HPP, would love to have, but they can't get it because they don't have shearing as part of the process. So we're bringing a whole new process to bear here, where we've combined high pressure, now well accepted by the government and by the food and beverage industry by many people. We've combined it with very high intense shearing, and we're making 1 plus 1 sometimes equal 20. 
 So we announced that on February 28 at Ohio State, we saw a video yesterday. They're going to be presenting at a meeting coming up, a food technology meeting coming up. They're going to be talking about data they've been generating with Ultra Shear, using the UST MAX System that was installed there in January and announced in February. They've been generating some incredible data. We're very happy with it. This is part of the deal we got when we took $1 million from the U.S. Department of Agriculture and got a piece of that and Ohio State got the other piece to develop Ultra Shear, is that we need to generate certain data and present in at meetings like the International Food Technology meeting. 
 And so very, very happy that we are a partner with Ohio State. We actually have formed a consortium where we and they are together and at some point in the near future, perhaps in the coming weeks, Ohio State is going to be inviting food and beverage companies from all over the world to start coming in and visiting and to see UST and maybe even try UST for themselves. 
 January 27, we -- is when we actually installed the BaroShear instrument. At Ohio State, it was installed in their world acclaimed advanced food processing technology pilot plant. They have a 40,000 or 50,000 square foot facility where companies from all over the world come in and bring the next generation of equipment. We're in that now, and we're looking forward to the opening and the invite to some amazing companies to come in and take a look. So those were the major advantages. I do want to highlight of the year so far. I do want to go back to the Early Access Program. And after that, we'll open it up for questions. 
 The Early Access Program came about because we had several companies who were chomping at the bit to try to get access to Ultra Shear Technology to use it. We've had a number of companies come to us in multiple applications. Certainly, CBD is one of the major applications. It's extremely well known that CBD as it is now and put into food, into beverages, into other -- into gauze and creams and things. If it's not a nanoemulsions, the bioavailability, the ability of the body to use the CBD inside that oil is very low. CDC -- not the CDC, the World Health Organization published 3 or 4 years ago, they estimated only 6% of CBD was actually used. The rest of it was excreted. 
 Remember, we as human beings and our pets, everybody that's taking CBD, for instance, in this case, we're water-based and when we ingest something with oil, our body wants to excrete the oil pretty quickly. If there's an active ingredient in the oil, the body is trying to extract out of that oil, the active ingredient, while the body is trying to extract out of the body, the oil. So there's a battle going on there. 
 And if you have globs of oil with active ingredients, you're not going to get very much of that active ingredient. However, if you break that oil into billions of nano-size droplets of oil and spread the active ingredient among all of these billions of tiny nano-sized droplets, these droplets are so small, that they -- light will go through and doesn't get blocked. So they become clear. That's a good sign of a nanoemulsion. It comes from cloudy to clear. 
 And another sign is that stability. We're up to over 2 years of stability. We've shown people our CBD product and the CBD product has been stable for over 2 years, and it looks exactly like what it looked like 2 years ago. So it's amazing. We've done some testing on the size of the oil droplets. They remain very consistently around 40 to 50 nanometers in this case. And so we're very, very happy and excited about the data generated so far on CBD. We're generating -- also generating data on Astaxanthin, which is considered by many to be the world's most potent antioxidant. We've generated data on that. We've generated data on other active ingredients, on prednisone as a pharmaceutical and retinol as a compound that's used in the cosmetics area. And we've had terrific results across the board. 
 So with the push from several companies saying, can't we get an early access, can't you do it sort of like a beta and you can learn from it, and we can learn from it. We decided just a month ago, not even a month ago that we would, and we've signed 1 contract. We're talking to 4 others. I believe that we will sign additional contracts in the coming weeks and months and that these will generate revenue -- substantial revenue in the fourth quarter and for next year, 2023. 
 So Matthew, I'm going to open it up now for any questions if there are any from our guests. 
Operator: [Operator Instructions] Your first question is coming from [ George Markelson ]. 
Unknown Analyst: Ric, it's [ George Markelson ]. It sounds like  a lot of stuff is going on with the company now. I really just wanted to, if I could, quickly sort of break down into [indiscernible] in terms of the debt that you were talking about before that you consider the good debt and also warrants that you have outstanding. Because I'm trying to figure out, going forward, what kind of shares outstanding is going to be if this that does convert and again, there seems to be a bunch of warrants, I have no idea where these warrants exercise that or when is [indiscernible]...
 [Technical Difficulty] 
Richard Schumacher: So [ George ], you're breaking up, but I got the gist of the question about the warrants and the debt. Was there anything else? 
Unknown Analyst: Can you hear me? 
Richard Schumacher: Now I hear you. So I get the question about the warrants and the debt. 
Unknown Analyst: Yes. I'm just trying to get an understanding if you're -- I see there's a lot of convertible debt. If the warrants -- if the debt converts, how many [indiscernible] if warrants exercised, how much stock is going to be outstanding. I'm just trying to get a sense of where we're headed in terms of number of outstanding shares fully diluted. 
Richard Schumacher: So all of the warrants, to my knowledge, and if I'm wrong, I'm not wrong by much. So virtually all of the warrants are convertible at $3.50. There is no warrants. I know that for sure, that will convert under $3.50. There are no warrants that are registered. So there's not a warrant overhang. I know you and I go back many years. And I know that sometimes a company gets a nice run and the stock moves up. And then all of a sudden, all of these registered shares come out, and the next thing you know, it throws cold water. There is no warrant overhang. 
 I go to bed and I pray that the warrants will get exercised. I really do, [ George ], because they're $3.50 a share. And so there are about -- I know I'm pretty close, 14 million warrants. It's in the K and the Q. These 14 million warrants have various exercise dates, termination dates. Some of them are underneath a year and some of them are 4 years. We've never given warrants to date longer than 5 years, and these warrants are between, let's say, 6 months and 4.5 years with a lot of them, I would say, around 2 years left in their life. And they're $3.50. And we would only -- we would be so lucky if we could get these individuals to exercise those warrants. That would be accretive -- highly accretive to this company, and I think everybody would applaud that. So warrants are not an issue, in my opinion. 
 Debt is always -- almost always an issue. Yes, there is good -- [ George ], you and I both know, there's good debt and there's bad debt. And we had for reasons that we don't need to go into, we had to take a lot of bad debt. And we had close to $7 million 3 years ago of bad debt. And this is the debt that could convert and adversely affect the company in a very big way. That number is down to about $1 million from $7 million, and nobody has ever converted that debt at any price other than at $2.50 a share. So that debt has been whittled down. 
 I look at the debt every day for the last 5 years, particularly last 3, and said, Ric, you got to get rid of this debt because it's dangerous. So again, close to $7 million, down to about $1 million. And all convertible at $2.50, everything has been converted to date is at $2.50. And I would expect that the rest of it, the goal is to get rid of it this year sooner than later. And that -- again, I just say that no one has ever converted that debt under $2.50. So either we have to raise money at $2.50 or the holder of the debt says stocks at $3.50, I'm going to convert it at $2.50, whatever. And sometimes it's a hybrid. I have to say it's more of a hybrid. That's how we've gotten rid of it over the years by saying, okay, we'll give you 50,000 and you convert 150,000 at $2.50, shake hands and the deal is done. 
Unknown Analyst: Would you have roughly 14 million of convertible debt, am I right? 
Richard Schumacher: We do. We do .And it's all convertible at $2.50 and so a lot... 
Unknown Analyst: For argument's sake, you've got like potentially another 5 million or 6 million shares that would be outstanding if they all converted? 
Richard Schumacher: Correct. And that 14 million is not counting the 1 million I just said, and that 14 million is held by 20 different people. One person holds a majority of it, and that person is a very strong supporter of the company and has, in my opinion, and my knowledge never sold a share and has supported us through thick and thin, and we've had plenty of thick and thin. So it's good debt, and it converts at $2.50. And... 
Unknown Analyst: I don't want to take up all of your time. I just have one last question. You had talked about a potential uplisting sometime later this year or hopefully early next year. I don't want to assume anything. If you were trying to do an uplisting, I'm assuming you're going to have to do some sort of a reverse split to get your share price higher. And I'm also wondering, I've just gone through this with 2 other companies that were just uplisted to the New York American Exchanges. But one -- with one of the companies, one of the concerns was in their -- in the financials, they had to get rid of statements from the accounts that said ongoing concern. Isn't that something that you're contending with? Or am I mistaken? I would just think that potentially is an issue given the history of losses with the company over the last number of years. 
Richard Schumacher: We know the rules. I've met with 1 of the 2 national exchanges. I've had -- I've run -- I've had 4 companies on NASDAQ, for instance. I've run them. And it is a concern. It is an issue. And [ George ], I guess, I'm going to step over line. I probably haven't stepped on before, but it's my belief. My -- I do not want to do a reverse. Our stock is not at $4. So the only way to not do a reverse is to get the stock to a point where you don't have to reverse it. 
 We have something that many companies don't have. Many companies either don't have the technology, whatever it is, maybe it's a drug, maybe it's a vaccine, maybe it's diagnostic, whatever, or they have it and it looks great on paper. We have something different, George. We have a technology that is the -- you know me, I go back 45 years on this. And I've rarely seen anything close to this, and I had a company, as you know, that went to almost $1 billion market cap. So this technology is platform. It can be used across the board in so many different areas. Each of those areas is exciting on its own, whether it's food or beverage or pharmaceutical, nutraceutical, cosmetics, agrochem, they're all exciting. 
 This is a technology that fixes a major, major problem. And what we have that others don't have that perhaps try to go on NASDAQ is we've proven it over and over again. We've proven it for the last 2 or 3 years. We have the data and we're ready to start selling. So if I had, had the option, which I did, to try to uplist by now, I wouldn't have done it, which we haven't because we think it's in our best interest, in the best interest of our shareholders to not do a reverse and to wait and see whether or not this technology is as good as we think it is. And if it is, see if the market and the investor base can understand it and can absorb it and can welcome it. And if that happens, that's our expectation is we would not have to do a reverse. 
 So we're so excited about this technology because everywhere -- every time somebody comes in and says, can you nanoemulsify this product, and we've never done a product in agrochem, let's say. We've never done a product in cosmetics. And we do it, and it nanoemulsifies, and it's stable and it's active, we get even more excited. So right now, our plan is to -- we've got our expectation to do an uplist on the middle burner, not on the front burner, on the middle burner, what's on the front burner is to get this technology out, show people that this is a new company. 
 Don't look back. [ George ], you can look back more than anybody, because you and I go back those years. You were an investor 10 years ago when we were struggling. And this is a different company. This is a company that has spent a lot of time and money on an amazing technology that we think is as good as we're blessed to have it. And we think the smartest thing to do is get this Early Access Program going, get some customers in, hopefully, get some name customers in over the coming months, show everybody what can happen and let the market tell us where we are and then make a decision on the uplist at that time. 
Unknown Analyst: I wish you luck, and I will continue to follow your story and potentially get involved once again. So I'll let you move on to other questions, but it's good hearing your voice. Be well, Ric. 
Richard Schumacher: I will. You, too, George. 
Operator: [Operator Instructions] Your next question is coming from [ Bob Jackson ]. 
Unknown Analyst: Ric, a lot of what you guys are doing, and I really like how you present the case. Kind of related to what you just said, I'm only curious about, do we have competitors? And if so, how close are they to us or who might they be? 
Richard Schumacher: We have competitors. A lot of people will say it's good to have competitors because they keep you on your toes and they keep you moving forward and -- but Bob, it depends on how you define a competitor. Now are there others out there that can do what we do and make nanoemulsions on a commercial scale? Absolutely. 
 Are there others out there that use other technologies other than the combination of high pressure and high shear? Yes, most of the companies that are out there that people are using to make what they call a nanoemulsion, if it's on the verge, it might be a macroemulsion. But whatever it is, don't use high pressure and high shear. Use other methods -- other physical methods. There are companies, there is a handful. I can count them on one hand, that have a combined -- used high pressure. And -- but we have something that those companies don't have. We have a patented valve that is unlike any valve, and we call it a NanoVALVE -- NanoGap Valve and it is an incredible invention that our guys made, which is why we got the U.S. patent issued several months ago, and we have patents pretty much in wherever we've gone and Europe is coming along and Canada is coming along and Japan, which takes -- usually a long time has already been issued. China, Australia already issued, and as I said, U.S. 
 This valve is the key. The pressure is important. We have data that shows the higher the pressure, the better the nanoemulsion. And we don't know of any of the 2 or 3 companies that use pressure that can come close to our pressure. We are pressure experts. We go to 45,000 in our sleep, we've gone to 60,000 psi. And pressure is important, but there's so many things that are important in addition to pressure. 
 One of them is the valve, Ed Ting and Alex Lazarev and their team have invented this NanoGap Valve that is exquisite. And it is the key to our success. It will be key to our success going forward. And I'm just in awe of these guys and what they've done. And this is what's going to put us on this map. And my prediction is going to be used in a lot of places other than just not in nanoemulsion preparation, in many other areas because it is so unique and so good. 
 So we have the valve. We have what's called an isolator, which the other groups that use pressure don't have. We can -- they put their material through the pump, which is fine. Perfectly fine. It's been done that way for 100 years. But then when you're done, you have to take the pump apart and clean it out and make sure you get it totally clean. We don't put it through the pump. We have ingenious discovery that these same guys made that isolates the material and doesn't put it through the pump. And we have a patent on this in the U.S. and elsewhere in the world. So we have higher pressure. We have better controllability. We don't put it through the pump. We have a patented NanoGap Valve. We have a patented isolator. And we've built it in a way that it can scale. 
 If you want it the size of a warehouse, we'll build it the size of a warehouse, might be pretty expensive, but we can scale. So yes, we have competitors, and we'll fight with them and maybe they'll fight on price or something, which is generally what happens if you can't beat them with the technology, you go to price, right? But that only lasts so long. And people see the light and they go, no, no, no. I'd rather spend another 20% and get this thing here that valve it's never going to plug and it's going to give me the ability to dial in the size of my nanoemulsions within reason. So Bob, we do have competitors. We respect our competitors. We're not afraid of them. We respect them. And -- but we think we have not just 1, not just 2, but 3 or 4 things that put us head and shoulders above the competition. 
Unknown Analyst: Ric, you've answered the question. And as I said, I like how you answer your questions, sir. Keep up the good work. 
Richard Schumacher: Good to talk with you. Thank you. 
Operator: [Operator Instructions] Your next question is coming from [ Kevin Barbalace ]. 
Unknown Attendee: I'm an investor. I think your technology is pretty much off the charts, totally cutting edge, and you can probably -- I mean there's dozens of platforms you can get involved in, especially pretty excited, I guess, about CBD oil and infusing it into a multitude of products. But I do have a friend of mine that works at a very large company that is looking at your technology. I feel -- he seems to feel and I feel that if there's a chance to commercialize with that company, and it could probably increase your market cap probably 10 or 20x. Are you planning on announcing some -- any major contracts within this quarter or next quarter? 
Richard Schumacher: So Kevin, nice to meet you. I don't think we've spoken before, right? 
Unknown Attendee: No, we have not. 
Richard Schumacher: Nice to meet you, and welcome aboard. Nice to hear you're a shareholder. If I was, I couldn't tell you, but what I can tell you, in general, is my goal, our goal, is to do just what you said. We are talking to -- I have no idea who you're talking about, and I'm not even sure what field you're talking about in nor do I want to know. But I can tell you that our goal, as I said, just what 15 minutes ago, we want to sign 3 or 4 contracts over the coming weeks or months. And I'm hoping that one or more can be from very recognizable or large companies because I think that will help get people to understand that this is for real. 
 So yes, our goal is to blow you away with some of the customers that we want to bring in. We do have -- I will not go into detail, I won't even tell you what the active ingredient is. I can tell you that we're working with a company that has a parent that's in the multi, multi, multi-billions of dollars in annual revenue and we're having very good results there. So I am looking forward to the day that I can do what you just asked, which is to announce that we've just signed a deal with a very recognizable name, which means it's probably a very large company. So it is a goal that -- and I don't like to not achieve goals. So let's hope that what you're asking what happens and happens soon. 
Operator: There are no further questions in the queue at this time. 
Richard Schumacher: Okay. We got everybody. We might be setting a record for the fastest -- I tried to keep it under an hour, but this one is under 55 minutes if I shut up and let everybody go. So as always, you guys -- my number is out there. Call me anytime if you have any questions or we didn't get to something, you think of it now after we hang up. We're available. I'm very excited about what's going on. And I'm pretty excited thinking about what's going to happen in the second half of this year. 
 So when we meet again, it's going to be in August, after the second quarter is done. And again, I would ask people, and I think that's what I've been seeing lately, which I appreciate. This is not -- in my opinion, this is not a story of pressure cycling technology and how many more accounts we can get. We have some wonderful accounts and it's an amazing technology. We have shifted. We have pivoted. This is a story about Ultra Shear Technology because this is a technology that solves a major problem in multiple areas, and we've proven it in many of these areas. 
 We have an amazing partner in Ohio State University. We have very hardworking, intelligent, smart people here even though we're a small company, it's amazing what -- how blessed I am to have these people. And we know we're on to something that we think is very big. So these calls, I think, are going to -- in my opinion, are going to get more excited, let's think about the future. If we want to talk about revenue, there's nothing in the past that excites a lot of people. I get it. I understand. I've taken a lot of heat for that over the years. But to those people, I say sit back and watch because we're very excited about where Ultra Shear can take us, not 2 years from now or 3 years from now, but we're talking months from now as we start to unveil the Early Access Program. Thanks again, everybody. Talk to you in August. 
Operator: Thank you. Ladies and gentlemen, this concludes today's event. You may disconnect at this time, and have a wonderful day. Thank you for your participation.